Operator: Good afternoon and welcome to the Benchmark Electronics Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Paul Mansky, Investor Relations and Corporate Development. Please go ahead.
Paul Mansky: Thank you, Maria, and thanks everyone for joining us today for Benchmark's Second Quarter Fiscal Year 2022 Earnings Call. Joining me this afternoon are Jeff Benck, CEO and President; and Roop Lakkaraju, CFO. After the market closed today, we issued an earnings release highlighting our financial performance for the second quarter of 2022 and we prepared a presentation that we will reference on this call. The press release and presentation are available online under the Investor Relations section of our Web site at www.bench.com. This call is being webcast live and a replay will be available online following the call. The company has provided a reconciliation of our GAAP to non-GAAP measures in the earnings release as well as in the appendix of this presentation. Please take a moment to review the forward-looking statements advice on Slide 2 of the presentation. During our call, we will discuss forward-looking information. As a reminder, any of today's remarks that are not statements of historical fact are forward-looking statements, which involve risks and uncertainties, as described in our press releases and SEC filings. Actual results may differ materially from these statements, most notably due to the ongoing impact of global supply chain constraints and COVID. Benchmark undertakes no obligation to update any forward-looking statements. For today's call, Jeff will begin by covering a summary of our second quarter results. Roop will then discuss our detailed financial results, including a cash and balance sheet summary and our third quarter 2022 guidance. Jeff will then return to discuss more insight on our sector outlook, and then close with directional commentary on how we're viewing the year relative to our mid-term model before opening for questions. If you will please turn to Slide 3, I will turn the call over to our CEO, Jeff Benck.
Jeff Benck: Thank you, Paul. Good afternoon and thanks to everyone for joining our call today. Hopefully by now you've seen our press release for the second quarter of 2022, which demonstrates another strong performance for the company.  Revenue of 728 million was nearly 100 million above the midpoint of our guidance range and increased greater than 180 million versus Q2 of last year. The year-over-year 34% growth was well balanced across our market sectors. But I'm particularly pleased with the greater than 50% growth this quarter from industrial, medical and computing sectors.  Benchmark is clearly benefitting from two key drivers. First, the success of our customers whose products address high growth markets benefitting from strong secular demand trends. And second, the momentum of design wins captured over the last several years, which are now beginning to ramp in the marketplace.  Our non-GAAP gross margin in the quarter was 8.1% and was impacted by 110 basis points due to pass through revenue from supply chain premiums paid by our customers. As you now have heard from many of our EMS peers, pass through revenue is an industry-wide phenomenon during this unprecedented supply chain environment.  These part premiums are temporary in nature and we expect them to moderate in future periods. Roop will go into further detail in a moment. But excluding the effects of supply chain premiums, our June quarter non-GAAP gross margin would have been 9.2%.  Turning to expenses. With the higher revenue base and prudent managed spending, we were able to offset the inflationary wage environment and deliver non-GAAP SG&A expenses below 5% of sales, even while assuming higher variable compensation on the year.  However, this did not fully offset the supply chain premium impact at the gross margin line, resulting in non-GAAP operating margin of approximately 3.1%, slightly below our guidance. As a reminder, our non-GAAP operating margins include stock-based compensation expenses.  Excluding these expenses, our non-GAAP operating margin in the June quarter would have been 3.7%. Finally, non-GAAP earnings per share was $0.50 as compared to $0.27 in the year ago period, representing 85% year-over-year growth. Looking to the second half of the year, we continue to see robust demand indicators across the majority of our market sectors. And even with our higher revenue attainment, we still left over 200 million of demand unfulfilled as orders again outpaced available supply.  Although there are some signs of improvement on a selective basis within areas of the supply chain, we do not anticipate any broad-based easing in the second half of '22. Like others, we are mindful of the possibility we are entering a recession, but have confidence in our positioning within more resilient industrial and enterprise markets.  In summary, before I turn it over to Roop, given the very strong first half performance and our expectation that this carries through the balance of the year, I'm pleased to say for the full year, we expect to deliver revenue growth of 20% or greater, excluding the pass through of supply chain premiums and non-GAAP earnings per share of $2 or better for the year, which would represent an all time record for earnings at the company.  With that, Roop, over to you. 
Roop Lakkaraju: Thank you, Jeff, and good afternoon. Please turn to Slide 5 for our revenue by market sector. Total Benchmark revenue was 728 million in Q2 which is 14% higher sequentially and 34% higher year-over-year. Medical revenues for the second quarter increased 42% sequentially and increased 53% year-over-year. The performance in medical is due to growth with existing customers and new program ramps.  Semi-cap revenues decreased 5% sequentially and increased 26% year-over-year. Demand levels throughout 2022 remain high for our complex precision machining and large electromechanical assembly services. A&D revenues for the second quarter increased 11% sequentially and decreased 7% year-over-year.  The sequential increase was driven by new program ramps. Year-over-year decrease is due to supply chain constraints with certain programs and program transitions. Industrials revenue for the second quarter were up 16% sequentially and 59% year-over-year from demand improvements from energy-related products, building infrastructure and LiDAR solutions.  Turning to our traditional markets, we continue to focus on higher value subsectors within compute and telco such as high performance computing and next generation networking. Computing was up 25% sequentially and 73% year-over-year from the plan ramp of high performance computing programs. These programs will continue to ramp through the remainder of 2022.  In the telco sector, revenues were up 11% sequentially and 15% year-over-year primarily from demand improvement for satellite programs and new broadband ramps. In the second quarter, our top 10 customers represented 53% of sales.  Turning to Slide 6. Included in the second quarter revenue is approximately 91 million of pass through revenue from customers as a result of incurring supply chain premiums. Supply chain premiums or excess component costs recovered as pass through revenue with no margin. We incurred the pass through revenue to protect access to available components supply. In a normalized supply chain environment, we would expect to incur approximately $20 million annually.  Turning to Slide 7. Our GAAP earnings per share for the quarter was $0.49. Our GAAP results included restructuring and other one-time costs totaling 1.3 million related to the closure of our previously announced sites in Moorpark, California and Angleton, Texas and other smaller restructuring activities throughout our global network offset by $2.4 million gain on the sale of assets held for sale related to the disposition of the Angleton, Texas facility.  For Q2, our non-GAAP gross margin was 8.1%, below the midpoint of our second quarter guidance of 8.8%. We were lower than guidance entirely due to the incremental supply chain premiums incurred in the quarter. If not for these premiums being greater than expected, gross margin would have been in line with guidance.  Second quarter gross margin was lower than Q1 due to 50 basis points of incremental supply chain premiums and another 50 basis points related to revenue mix and further investment in new program ramps. On a year-over-year basis, reported margins are lower by 70 basis points due to the higher supply chain premiums in Q2 2022 compared to Q2 2021, partially offset by operational efficiency gains. Our SG&A was 35.8 million, which was down 1% sequentially due primarily to lower variable compensation. Non-GAAP operating margin was 3.1%. Excluding the impact of supply chain premiums which have $0 impact on gross or operating profit, our operating margin is 3.6, which is in line with Q1 2022.  In Q2 2022, our non-GAAP effective tax rate was 19.1% because of the mix of profits between the U.S. and foreign jurisdictions. Non-GAAP EPS was $0.50 for the quarter, which is $0.08 higher than the midpoint of our Q2 guidance.  Please turn to Slide 8. We've shown the effects of supply chain premiums on a trended basis over the last six quarters on this slide for comparison. In Q2 2022 alone, we incurred approximately $91 million. We believe these impacts will return to a more normalized level in 2023.  Sequentially, this number grew by 34 million and on a year-over-year basis $81 million due to the challenging supply chain environment. The magnitude of these premiums are temporary in nature. As the supply chain environment requires less premiums to be paid, this cost recovery revenue will decrease.  Excluding supply chain premiums, our revenue in the second quarter of 2022 is 637 million, a sequential increase of 58 million or 10% growth and a year-over-year increase of 102 million or 19% growth. As discussed, gross and operating margins are diluted by this pass through revenue while gross profit, operating profit and EPS are unaffected.  Turning to Slide 9. Non-GAAP ROIC in the second quarter was 9.6%, a 30 basis point increase sequentially and a 210 basis point improvement year-over-year. In the period between Q1 2021 and Q2 2022, ROIC has grown by 50% as a result of 44% revenue growth and 97% operating income growth.  Please turn to Slide 10 to review our cash conversion cycle. Cash conversion cycle days were 77 in the second quarter compared to 82 days in Q1 with a decrease primarily due to the improvement in inventory days and in customer advanced deposits, which grew $44 million sequentially or 34% growth. Customer advanced deposits cover 26% of our net inventory value.  Please turn to Slide 11 for an update on liquidity and capital resources. We used $25 million of cash in operations and invested 7 million in CapEx. We expect to use cash to support inventory and capacity expansion in 2022. And as a result, we will not generate cash flow from operations for 2022. We expect our CapEx spending in 2022 to be between 50 million and 60 million. We expect to get back to generating cash flow from operations in our fiscal year 2023.  Our cash balance was 264 million at June 30 with 79 million available in the U.S. Our cash balances increased $19 million sequentially. The increase in cash is supported by our borrowings against our revolver to support the growth of revenue, CapEx and proactive investment in inventory. As of June 30, we had 131 million outstanding on our term loan and 135 million outstanding borrowings against our revolver. Turning to Slide 12 to review our capital allocation activity. In Q2, we paid cash dividends of 5.8 million. The total share repurchases in Q2 were 3.9 million, which represented approximately 126,000 shares. As of June 30, 2022, we had approximately 155 million remaining in our existing share repurchase authorization. We will evaluate share repurchases opportunistically, while considering market conditions in the third quarter of 2022.  Turning to Slide 13 for a review of our third quarter 2022 guidance. We expect revenue to range from 715 million to 755 million, which at the midpoint represents a 28% year-over-year growth. Our revenue range comprehends supply chain premiums of approximately 55 million, a reduction of 36 million sequentially. The demand environment remains strong, and in each sector demand outpaces supply.  With our investment in inventory and capacity as this demand moves into future quarters, we will be able to fulfill it. We expect that our gross margins will be between 8.6% to 8.8% for Q3. On a sequential basis, the 8.7% midpoint assumes a 50 basis point improvement for lower supply chain premiums, but the balance coming from operational efficiency gains. SG&A will range between 36 million and 38 million.  Implied in our guidance is a 3.5% to 3.7% non-GAAP operating margin range for modeling purposes. The guidance provided does exclude the impact of amortization of intangible assets and estimated restructuring and other costs. We expect to incur restructuring and other nonrecurring costs in Q3 of approximately 1.6 million to 2.4 million.  Included in this range is an $800,000 one-time charge related to our currency translation adjustment due to a legal entity reorganization. The remaining cost relate to continued activities associated with previously announced site closures.  Our non-GAAP diluted earnings per share is expected to be in the range of $0.49 to $0.55 or a midpoint of $0.52. Other expenses net is expected to be 4.1 million, which is primarily interest expense. We expect that for Q3 our non-GAAP effective tax rate will be between 18% and 20%. The expected weighted average shares for Q3 are approximately 35.4 million.  In summary, this guidance takes into consideration all known constraints for the quarter and assumes no further significant interruptions to our supply base, operations or customers. Guidance also assumes no material impact to our results due to COVID disruptions.  And with that, I'll turn it back over to you Jeff. 
Jeff Benck: Thanks, Roop. Good update. Please turn to Slide 15. Before I go into our sector outlook, I wanted to highlight some wins we secured in the June quarter. It's important to note that the breadth and balance of our wins today are good indicator of the health of our business tomorrow. These wins also reflect the diversity and complexity of the projects that we take on to help customers realize their product vision.  In semi-cap, we continue to execute on a strategy of expanding our business with existing customers, while we're adding new customers to the portfolio too. This past quarter, we secured new manufacturing wins for lithography build the print, atomic layer deposition or ALD modules, and advanced vacuum cure tools. We're excited to see that our strategic plan is enabling significant multi-year growth in the semi-cap sector.  In medical, we were awarded a new design and manufacturing program for the only DNA sequencing device to have both long and short DNA/RNA read sequencing technologies for cancer diagnostics. We were also awarded design programs for a blood safety system and a smart wound healing platform.  In industrials, we continue to expand our business with current customers with new program awards in control, measurement and test, robotics and commercial transportation. Our engineering bookings this past quarter were strong as we support a variety of customer programs in development, testing and proof of concepts, across all the industrial subsectors. We also added a new customer related to sensory devices that enhanced user experiences incorporating the manufacturing of optics, computing and power modules.  In the A&D sector, we're continuing with new A&D manufacturing programs in the area of communications for both secure and non-secure applications. Additionally, we continue with new design awards in the area of connected battle space, most recently for asset tracking to serve the U.S. war fighter.  In computing and telco, we won an incremental broadband amplifier program and a growing next generation telecommunications portfolio. We were awarded a first generation product design for handheld radio wave technology platform, which was the new logo. We also added a new logo in the SATCOM module space, which continues to see solid growth in 2022.  Finally, while not a program win, I want to highlight that last month we were selected as the winner of the 2022 Manufacturing Leadership Award for Transformational Cultures, presented by the National Association of Manufacturers. This award was in recognition of an internally developed program called the Benchmark Enterprise eXcellence Olympics, which brought together our global operation teams spanning seven countries to compete in the Olympics themed event aimed at reinvigorating Lean Six Sigma culture and continuous improvement methodologies across the enterprise in a competition style event. Now, turning to Slide 16, I'll provide some color on expected demand trends by sector for the third quarter and full year. Some investors have surface concerns about the possible convergence of several macroeconomic risks, including inflation, interest rate increases, geopolitical tensions, supply chain challenges and the risk of a recession. I'm proud that our team has proven to be very resilient and done an excellent job navigating the pandemic and other challenges that have come our way.  We believe that our business is well positioned to overcome future challenges that might result from these macro risks. Our shifts years ago to higher value markets with complex programs has resulted in a more diversified portfolio with a stronger long-term growth potential, healthy margins and little exposure to consumer or commoditized markets.  In semi-cap, revenues have grown double digit year-on-year for 11 consecutive quarters and we expect Q3 to be number 12. On a sequential basis, after a slight pause due to incremental constraints from outside service providers that impacted our June quarter performance, we expect sequential growth to resume in Q3.  Looking forward, we continue to believe secular drivers will provide an opportunity for continued growth in this sector, as we have several large customers that have order backlogs supporting new fabs through much of 2023. These drivers include increased silicon content across all devices, continued post-COVID demand recovery, and now the accelerated growth in new domestic semiconductor fabs to be further underpinned by the CHIPS Act, which was just approved by Congress last week.  We remain well positioned in this sector, with our $25 million capital investment this year, to support breakthrough technologies developed by our customers with our design, precision machining and electronics manufacturing capabilities. For the full year, we now expect revenues to grow more than 25% in this sector.  In our medical sector, we saw strong growth in this business in Q2, expanding 42% sequentially and 53% year-over-year. As one of our most supply chain impacted sectors, we were pleased with the operation team's ability to meet the underlying demand in the quarter. We expect Q3 performance to reflect modest sequential growth over Q2 levels given the success we have had partnering with our customers to address some of our supply constraints and with the strong backlog of demand we have in this area.  On a full year basis, we continue to benefit from increasing demand from existing programs and a large number of new program ramps now reaching volume production, which positions medical to be among our fastest growing sectors this year.  In industrials, we expect revenue in September quarter to be down modestly compared to June. Our second quarter performance in industrials was stronger than expected, driven by increased demand from energy-related products. Looking into the back half new program ramps in advanced LiDAR applications, energy management systems and IoT enabled smart devices positions the sector to grow above the corporate average.  Moving to the A&D sector outlook, we continue to see indication of improved end demand from both the aerospace and defense sectors. For the June quarter, we were pleased with the rebound from a challenging March quarter. As you've likely heard from some of our peers, the defense sector in particular continues to suffer from significant supply chain constraints as increasing demand has hit within the extended lead time environment. As this improves and our recent design wins begin to ramp in the coming quarters, we expect further recovery next year.  Within telco, the June quarter performed better than our expectations for flat versus March, which we expect to normalize in Q3. On a full year basis and into 2023, we remain optimistic on double digit growth prospects driven by ramping next generation broadband infrastructure wins, government programs aimed to enable broadband from anywhere and increase SATCOM adoption around the world.  Finally, in computing, we continue to help build some of the largest and most sophisticated supercomputers in the world, including a large high performance computing program ramping in the second half. Even with the strong performance in the first half, we expect sequential and year-over-year growth in computing throughout the rest of the year.  Let's now turn to Slide 17. Back in the fall of 2020, we laid out our midterm model for the company, which we committed to achieving by the time we exit 2022. In 2021, we made steady progress against these goals, putting up milestones that clearly demonstrated we were tracking these targets.  Excluding the effect of pass through revenue, our Q3 guidance reflects a gross margin of 9.4% and non-GAAP operating margin of over 4%, which would enable us to achieve all four of the performance metrics of our midterm target model in the quarter.  Taken further, if we were to exclude stock-based compensation, like many of our peers, our non-GAAP operating margin is expected to be greater than 4.5% in the quarter. There's always room for improvement. But overall, I'm pleased with our performance particularly amidst all the challenges we endured in the quarter related to supply chain efficiencies, continued COVID disruptions, and inflationary impacts.  In summary, if you please turn to Slide 18. Demand trends among our target sectors continue to be robust. This is coming from growth within existing programs, and the ramp of new program wins that we secured over the last few years. It's a bit early to provide a full perspective on the markets rate of growth in 2023, but we believe the markets we serve are well positioned to weather a potential recession.  Of course, it depends on the duration and severity of a market downturn. However, based on the conversations we've had, our customers are not seeing a slowing of demand. Indeed, several customers have share gain plans or they're still committed to addressing unmet customer demand due to supply constraints.  Turning to operations, we're continuously improving efficiency and our team working in partnership with our customers has done a remarkable job securing key supplies. But even with our accelerating growth, we're still unable to meet all customer demand in the near term. We now expect our business, even excluding supply chain premium revenue, to grow greater than 20% on the full year.  We also expect earnings growth will more than double revenue growth as we see further leverage from our higher revenue levels. This is enabling us to feel confident about achieving non-GAAP EPS of $2 per share, or more in 2022. And we're expecting that our ROIC will exceed 10% as we exit the year.  It's encouraging for our team to see the fruits of their labors over the last several years coming through our results. And I'm appreciative of their commitment and dedication to our customers. We remain confident in our strategy and are excited about the incremental leverage in our model. We are hosting an Analyst Day in New York on November 8, and look forward to discussing this further along with our long-term objective.  With that, I'll now turn the call over to the operator to conduct our Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Stephan Giom [ph] with Sidoti. Please go ahead.
Unidentified Analyst: Hi. Good afternoon. This is to Stephan Giom for Anja Soderstrom. Thank you for taking my questions. My first question is, which end market do you think is like least resistant to an economic slowdown?
Jeff Benck: Yes, that's a good question. I think really the traditional market of compute and telco would be one that might be more sensitive to a data center enterprise slowdown. But the segment that we -- the sub-segments we're supporting for compute are really in the high performance computing area, which are very project driven and we've got pretty good line of sight that things continue there. And in telco, we're working on some very large rollout of next gen broadband solutions. So even though those market segments might be a little more sensitive, I think that we feel pretty good if that's really our weakest position. We don't really have really any meaningful exposure to consumers from that standpoint. What we see right now is a lot of discussion about consumer purchasing behavior. But certainly from our talks with customers, demand feels pretty resilient elsewhere.
Unidentified Analyst: All right. Thank you. And I have another question. So for the new program wins, how are they balanced between new logos and existing customers?
Jeff Benck: It's interesting, because we -- it depends a little bit by sector. But one of our goals certainly over the last several years have been we've got a great marquee list of Blue-chip customers. And we knew that we could go deeper across that customer base. And so we've been really pleased that we've continued to get incremental wins. Frankly, that's where we have relationships and we have teams in place. So it's really supports that we're doing a good job for them. But at the same time, we also recognize organic growth from new customers is also important. So I'd say it's really pretty evenly balanced where we certainly are winning incrementally, but we're also bringing on new clients. We haven't really put a metric on it. I'll give you one example though for semi-cap, for example. We actually support some of the top wafer fab equipment capital suppliers in the industry, they are the industry leaders, and we've continued to win next generation platforms there, which is exciting. But we've also started to win some backend solutions where we hadn't had much exposure in the past. So it's great to see it starting to play in the test area and some of the things that aren't necessarily about the creation of the wafer in the semiconductor space. It's one example where we've kind of diversified while we've gone deeper with the key customers we've had. Good question.
Unidentified Analyst: All right. Thank you so much. And I'll jump back in the queue. Good luck.
Jeff Benck: Thank you.
Operator: [Operator Instructions]. This concludes our question-and-answer session. I would like to turn the conference back over to Paul Mansky for any closing remarks. Please go ahead.
Paul Mansky: Thank you, Maria, and thank you everyone for participating in Benchmark's second quarter 2022 earnings call. Before we go, I'd like to remind listeners of a couple upcoming events.  This Friday, August 5, we'll be attending the 11th Annual Needham Virtual Industrial Tech, Robotics & Clean Tech 1x1 Conference that will follow on August 10 with our participation in the Oppenheimer 25th Annual Technology, Internet & Communications Conference.  Lastly, as Jeff mentioned, please hold the date for Benchmark's Analyst Day event set to be held November 8 at the New York Stock Exchange, which is commemorating our 25th year of being listed on the NYSE.  With that, we look forward to speaking with you soon and wish you all a good evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.